Operator: Welcome to the Hamilton Thorne Ltd. First Quarter 2022 Earnings Conference Call. Before turning the call over to your host today, please be reminded of our non-standard public company filing on forward-looking information and use of non-IFRS measures. Certain information presented or otherwise discussed on this call may contain forward-looking statements. These statements may involve, but are not limited to, comments relating to strategies, expectations, planned operations, product announcements, scientific advances, and future actions. This information is based on current expectations that are subject to significant risks and uncertainties that are difficult to predict. Should one or more risks or uncertainties materialize, or should assumptions underlying the forward-looking statements prove incorrect, actual results, performance, and achievements, could vary materially from those expressed or implied by these forward-looking statements. These factors should be considered carefully and prospective investors and other parties should not place undue reliance on these forward-looking statements.  The company assumes no obligation to update such forward-looking statements or to update the reasons why actual results could differ from those reflected in the forward-looking statements unless and until required by securities laws applicable to the company. Additional information identifying risks and uncertainties is contained in filings by the company with the Canadian securities regulators, including without limitation, the company’s management discussion and analysis for the quarter ended March 31, 2022, which filings are available under the company’s profile at www.sedar.com. During this call, the company may reference adjusted EBITDA, organic growth, and constant currency as non-IFRS measures, which are used by management as measures of financial performance. Please see the sections entitled use of non-IFRS measures and results of operations in the company’s management discussion and analysis for the period provided for further information and a reconciliation of adjusted EBITDA to net income. Now, let me turn the call over to Hamilton Thorne’s CEO, David Wolf.
David Wolf: Thank you, and good morning to all, and welcome to the Hamilton Thorne Ltd. first quarter 2022 earnings conference call. I'd like to introduce myself. I'm David Wolf, President and CEO of Hamilton Thorne. On the call with me today is Michael Bruns, our Chief Financial Officer. This morning's call will have the following format. First, I will provide a summary of operational and financial results for the quarter ended March 31, 2022 with a focus on our sales, markets, and operational performance. Michael will follow with a more detailed discussion of our financial results for the periods, as well as a review of our financial position and liquidity. I will then return for a few minutes to provide some information on our outlook for the balance of 2022, and we'll open the line up for questions. I'd like to remind all participants that we do not provide financial guidance. So, I would ask you to limit your questions to either historical periods or general trends in the business. I'll begin with our sales results. The first quarter of 2022 was a solid quarter for Hamilton Thorne, as we achieved $14.1 million in sales, a 22% year-over-year growth. We did face some supply chain issues leading to the delay in producing over $500,000 worth of orders in the first quarter. Let me give you some highlights from our performance. Sales, as I mentioned, increased 22% year-over-year to $14.1 million. Sales in constant currency increased 26%, reflecting significant currency fluctuations as European currencies weakened throughout the quarter, particularly during - following the Russian invasion of Ukraine. Gross profit increased 17% year-over-year to $6.9 million. Net income increased 36% - sorry, decreased 36% to $556,000 while adjusted EBITDA increased 9% year-over-year to $2.5 million. Organic growth was 8% for the quarter in constant currency. 4% is reported, or to put it another way, foreign exchange headwinds had an approximately 4% negative impact on the quarterly results. Cash flow from operations was $243,000 for the quarter and total cash at quarter end was $17.1 million. Sales were up across all product categories, with equipment sales showing the most growth for the quarter, largely due to the addition of IVFtech workstation and incubator sales. Looking at fields of use, sales into the human clinical market were up substantially for the quarter, driven by strong demand for all products and services, as well as the addition of the IVFtech business. Sales into the cell biology/research and animal breeding markets also grew, albeit on a much smaller basis.  Gross profit and EBITDA margins were somewhat down at 48.7% at 17.9%, respectively. In part is the production delay that I mentioned, involved some of our highest margin products. We also continued to see increased cost materials and shipping due to supply chain issues. We did institute and across the board a price increase in January that should help address supply chain costs, as well as general inflationary pressures, which I'll discuss a little bit more in outlook. I'm happy to say that we resolved the supply chain issues that I mentioned, which also have - will have a positive impact on margins versus this quarter. And again, I'll comment on that when we discuss our outlook going forward. Our operating costs were generally in line with expectations, with increased costs associated with maintaining investments in our R&D, sales, and sales and support personnel and variable costs of sales, particularly trade shows and travel returning to historical levels, and acquisition expenses post transaction.  I'll now turn the call over to Michael to provide a more detailed discussion on the numbers.
Michael Bruns: Good morning, everyone. I'm Michael Bruns, the CFO of Hamilton Thorne. I will briefly highlight the first quarter March 2022 performance. David has already provided an update on sales and gross profit. So, I will focus on other elements of the income statement, as well as the cash flow and liquidity of the company as of March 31. Operating expenses increased 28% to $5.9 million for the quarter ended March 31. Expense increases were attributable to the inclusion of IVFtech expenses post-closing from the 2021 acquisition, as well as increased non-cash share-based compensation, increased regulatory expenses, volume-related increases, and variable costs of sales, and continued investments in R&D, sales and sales support resources. The continued return to normalization also included increased spending for sales and support teams as they traveled to customers and increased trade show activities. Interest expense increased $25,000 or 28% to $115,000 for the quarter, versus the prior year's quarter, due to the increased term debt incurred in the July 2021 finance of the IVFtech acquisition and partially offset by reductions in other debt due to principal reductions, plus interest earned on the company's cash balances. Income tax expense decreased 2% to $296,000 for the quarter, due primarily to reduced taxable income. Net income for the quarter was $556,000, an increase of 300 - a decrease, rather, of $310,000 versus the prior year first quarter, primarily due to increased operating expenses and somewhat lower gross profit margins. Adjusted EBITDA, which we consider a very important metric to our financial performance, increased 9% to $2.5 million in Q1 versus the prior year Q1 of $2.3 million, primarily due to revenue and gross profit growth. These 2022 gains were somewhat offset by the impact of mix and supply chain issues on gross profit margins, and planned increases in operating expenses in the period. As a reminder, adjusted EBITDA is a non-IFRS measure. Please see the reconciliation of adjusted EBITDA to net income for the quarter and the full year in our MD&A report filed today on Sedar and on our website, as well as our definitions of adjusted EBITDA, organic revenue, and currency. Turning now to the company's cash flow and balance sheet. The company generated cash from operations of $243,000 in the first quarter of 2022, down $1.3 million from the prior year. This operating cash flow change is attributable to somewhat decreased net income, higher inventory levels increased over several months to address increased product offerings and supply chain issues, together with increased receivables and prepaid expenses. The negative effect of foreign exchange were significant in the quarter, as the Euro, British pound, and Danish krona, were all negatively impacted by the war in Ukraine. Absent those FX impacts, the Q1 cash flow from operations would have exceeded $1 million. Cash used in investing activities was $492,000 for ongoing investments and capitalized intangible development costs by our R&D teams, and CapEx for equipment and demo units for productions and sales teams. Cash utilized by financing activities was $621,000, attributable to scheduled term loan and lease obligations, and reduced substantially from the $1.2 million used in Q1 of the prior year, as the revolving line of credit is fully paid down. The company's resulting cash balance at March 31, 2022, decreased to $17.1 million for the three months of 2022, a reduction of $870,000, primarily attributable to lower cash from operations. Working capital increased somewhat to $23.3 million as of March 31. Total availability in our lines of credit remained at $12.5 million, consisting of the $8.0 million acquisition line of credit, as well as the full $4.5 million of availability in our revolving line of credit. This combined $12.5 million of bank lending availability is an important additional resource in our ability to complete acquisitions timely and with a relatively lower cost of capital. This lending availability, combined with our cash on hand of $17 million, makes us well positioned to support our operations in the coming months, including the continuation of our acquisition program and financing further growth as the business climate and assistive reproductive technologies continues to improve.  Now, let me turn the call back over to David, to comment on the HTL outlook.
David Wolf: Thank you, Michael. Looking forward into the balance of 2022, I would say our company is in a strong position. We continue to expect solid sales performance based on positive industry trends in our field, and as demand and growth have returned to pre-pandemic levels in nearly every market that we serve. As I mentioned, we have largely resolved the supply chain issues that led to production delays for one product line in Q1, through a combination of re-engineering around an off-the-shelf product that was no longer available, and working with a specialty manufacturer to increase the supply of certain made-to-spec components. We will certainly ship most of the deferred orders in Q2, but given the continued strong demand in orders flowing in, it’s likely to take us into Q3 to work through the entire accumulated backlog.  I also mentioned that we have implemented across the board price increases in early 2022. These had a modest effect on Q1 margins, as there was as a bit of delay in feeling the full effect of these increases as, for example, we continued with 2021 pricing for certain orders that were in backlog at the end of the year. These increases will have a more positive effect on margins as they fully layer in over the first half of the year, and obviously beyond. That being said, we do see the possibility for quarter-to-quarter variability in sales and margins during the year, as we have to work to continue to manage supply chain issues, as well as inflationary pressures. So, I would say these are certainly on the inflationary side. They're the type that we believe are affecting all market participants.  Finally, I should mention that while we expect our constant currency growth to be strong throughout the year, the US dollar has continued to gain strength against the Euro, British pound, and Danish krona, and will continue to affect our recorded results. Regarding our M&A activities, we have an extensive pipeline and are actively working on multiple acquisition opportunities. With $17 million in cash, $12.5 million in committed lines of credit and further debt capacity, we are well positioned to continue to execute on our acquisition programs. In summary, despite the various issues that we face on a day-to-day basis, we feel good about our market position and have confidence in our team's ability to execute on our strategy of driving long-term growth and EBITDA expansion by investing in our organic growth, while building scale, enhancing our product offerings, and expanding our geographic and direct sales footprint through acquisitions.  We'll now open the line up for questions. Operator, please open the lines for questions from the queue.
Operator: [Operator Instructions]. Your first question comes from the line of Paul Stewardson with iA Capital.
Paul Stewardson: Good morning. Thanks for taking my question. Just calling in for Chelsea. For the first one, can you touch a little bit on sort of the segments that you might focus on in terms of the pipeline, what's in active discussions, if you're more looking at geographic expansion or getting new products or services?
David Wolf: Sure. So, thank you for the call. On the M&A front, as we probably said in a lot of detail, while we have a significant growth number of targets that we look at that we look at (other companies) that we have surveyed, we - roughly half of those, or a little less than half of those, would qualify (indiscernible) you to look at them and stay in conversations. And while it's a significant enough universe, I feel confident that there are acquisitions to be completed throughout the period as we go on. It's probably not such a huge universe that we have the luxury of being able to focus specifically on one product or maybe even one segment. That being said, (indiscernible) somewhat though it's been changing as our (indiscernible) somewhat over-indexed and equipment under-indexed in consumables. So, I would certainly expect in general to see more consumables and acquisitions. And then as - I would say, the geographic side has historically been a second (indiscernible) important element of targeting (indiscernible). Hopefully that was responsive.
Paul Stewardson: Yes. Appreciate the color. And is this something that you could see opportunistically adding two or three acquisitions over the next year? Or is it really something that you're going to stay disciplined and focused on kind of one every 12 to 18 months?
David Wolf: Yes, that's always a good question because you have to be opportunistic to some degree. I think we've mentioned on prior calls that the receptivity of targets is (indiscernible). I think everybody is a little bit more interested in hearing (indiscernible) first of all, just more educated about the possibility of doing it. They're seeing our field certainly with active participants. And I'm a little bit - I guess almost say scooped the past couple of years that they've seen their businesses have substantially (indiscernible) supply chain and now current (indiscernible) to have a really meaningful impact on their (indiscernible). But our observation is that clearly more companies and has historically been the case us in having very full discussions with us and exploring what it would mean going to a much larger business and the advantage of maybe (indiscernible), certainly the advantages that we would (indiscernible). So, I would say we continue - would continue to be disciplined, absolutely. And remind (indiscernible) too far out over our skis and do perhaps too much too (indiscernible). But I wouldn't necessarily say that the way we would do even 2x, maybe even three, particularly one (indiscernible)very small acquisitions over that same 12 to 18 months.
Paul Stewardson: Okay. That's helpful. And just one more for me. In terms of when we're looking at this kind of higher inflation environment, do you see opportunity, and maybe this depends on the competitive landscape as well, but do you see any opportunity for sort of having more frequent price increases instead of kind of having one big price increase in January and then having the margins come up in Q2 and come back down towards the end of the year as inflation trickles through your costs and then correcting it back in January? Is this something that we could see smooth out or is that just the way that you're sort of facing making sure that demand doesn't decline as competitors don't have price increases throughout the year? Or how do you think about that?
David Wolf: So, historically, our field has had generally annual price increases and prices held for the year. Obviously, we are in unusual times. I think these are inflationary pressures that most - management and most buyers have not seen in their recent - certainly in their recent history or perhaps in their careers. So, I would certainly tell you that we would certainly look at doing more frequent price increases. We absolutely plan to look at our cost and margins at the end of year and decide whether a price increase is merited, whether - and that price increase could be, again, across the board, or could be more targeted on either particular segments or particular areas where there's been either more cost or perhaps - and has - which has been the case where our - some of our competitors have done - have announced immediate price increases. So, I don't want to promise that that's absolutely going to happen, but I can promise that we are absolutely going to look at it.
Paul Stewardson: Okay. That's helpful. And just a final follow-up. In terms of the price increases that you are instituting, have you seen that be more or less or the same as most of your competitors?
David Wolf: I believe - it’s not always transparent exactly what the price increases have been, but I believe it’s been consistent with what we know that our competitors have done.
Paul Stewardson: Okay. Thanks so much for taking my question.
Operator: Thank you. Our next question comes from the line of Justin Keywood with Stifel.
Justin Keywood: Hi. Good morning. Thanks for taking my call. On the comments of the backlog and that being converted partially into Q2 and then partially into Q3, are you able to give some context on how that would be portioned as far as a percentage in Q2 and what could be remaining for Q3? Thanks.
David Wolf: Sure. So, it's a little hard to actually answer that question, because the backlog, to some degree, it's fungible in the sense that we end up with new orders coming in, which, for various reasons, may have higher priority, either because there's a specific vendor that needs to be completed by a certain time, or maybe it has penalties associated with it. Or in some cases we may have gotten large orders that we're able to split over two periods. So, I think what we - the way we look at it is, it's going to take us into Q3 to be more - on a more normalized shipping schedule, where we have lead times that are more consistent with where they've been historically, rather than I can say this specific order is going to be deferred and this specific order is going to ship.
Justin Keywood: Okay. Thank you. And then if we look beyond Q3, what gives you confidence that the supply chain headwinds won't worsen from today? Is there any indicators that you're seeing somewhat of a normalization?
David Wolf: So, again, and part of it is I would say protective but it's also true. We did put into our comments and I believe certainly into our press release and MD&A, the reality that there could be further future supply chain issues. And so, I would have to say that as we sit here today, supply chain has improved. And the specific issues that we had in Q1, again, have been resolved. But they appear - the supply chain issues we have seen, have not necessarily been systematic in the sense of (indiscernible) really been for us certain specific products or certain specific vendors for whatever reason have issues with (indiscernible) make product to the quantities that we want. So, today, we have no - beyond the normal, I would say cautions, we have no specific knowledge that there's something that I would call specifically a supply chain issue on the horizon, but we have no special knowledge either that everything has been normalized. So, I would say we’re optimistic but cautious at the same time.
Justin Keywood: Understood. And then, for the business in Japan, I understood that there's new reimbursement that started to take effect in April, as far as for fertility treatment in the public health insurance area. Has that impacted results yet, and are you seeing any change in demand from that region?
David Wolf: Yes. So, our business in Japan has historically been more of a capital equipment business than consumables business. The one would see increased demand, having a more immediate impact in consumables, which is a long way of saying that we haven't necessarily seen a significant increase in demand in Japan. I also would say the new reimbursements went in effect April 1. I suspect it will take more than 45 days for us to see really significant increases in demand, but over time, even capital equipment sales are directly related or at least related to underlying demand for procedures. And we would certainly expect to see strong - some strengthening of that demand, but again, not as either immediate or linearly tied to the consumer voice.
Justin Keywood: Understood. Thank you for taking my question.
Operator: The next question comes from the line of David Martin with Bloom Burton.
David Martin: Good morning, David, and Michael. First question, the supply chain issues affected one product, it sounds like, but it sounds like a fairly major product. Can you say what that product was? And I think you were saying outside of the backlog for it, that demand for the product is increasing quite strongly as well.
David Wolf: Yes. So, I'd prefer not to, maybe for competitive issues in some ways, prefer not to highlight exactly which products, but I think we managed through the issues as best we could. We keep - again, as I said, we triage orders. We split orders. We re-prioritized. So, we certainly had managed as best we could through the somewhat of the disruptions that we saw in Q1, and they continue, again, as I mentioned earlier, a little bit into Q2 due to the backlogs. We certainly have seen strong demand for that - strong demand continuing for that product. Hard to know whether if any of that is people who are maybe increasing or accelerating some of their ordering, again, out of worry that we might in fact have an additional supply chain issue, or are truly again a function of direct demand. But clearly, we've never really - well, certainly we've never done it. We've never seen a significant channel stomping in our field. So, I have a sense it's - at the end of the day, it’s true underlying demand.
David Martin: Is it a new product, or is it a product you did an upgrade on?
David Wolf: So, no, it has nothing to do with new product introduction. It's just product that, again, for particular reasons, had - in this case, had two significant issues with the same product line.
David Martin: Okay. The other thing on observation, when you make acquisitions, your integration seems to go quite smoothly, at least from where we're sitting. I'm wondering, is that, do you think, part of Hamilton Thorne's process and something that you do well in acquisition integrations? Or is it reflective of maybe the small size of the target you've gone after, or the management teams that you look for when you make acquisitions?
David Wolf: Yes. So, I would say it's a combination of process, and then I suppose how we choose the companies that we work with, which perhaps in a way is part of the process. I think there are two things that we do perhaps differently than a number of acquirers and certainly the serial acquirers you might see in a classic roll-up, which again, we don't view ourselves as a roll-up. We view ourselves much more of a very targeted strategic acquirer. The first thing we do is, while we have idea - we do not have like a rote playbook that we follow for every transaction. So, we clearly develop specific integration plans that meet the specifics of the transaction and are appropriate for that company's size, location, management, synergy opportunities, and the like. So, to put that in a little more - to put a little more color on that, we have transactions where, for example, the IVFtech transaction that we recently completed, where we gained completely new product lines and the manufacturing associated with it, and additional direct sales and support in the territory that we presently cover. So, our integration there was actually - other than from a financial perspective, was actually quite light and was planned specifically that way because it met the needs of what we’re trying to accomplish, which also in some ways, reduced the risk of integrations. We have done other integrations where there's either significant geographic overlap. The size is smaller. The production can be moved very easily, in which case we have a completely different playbook where we have done - closed facilities, reduced headcount, in one location sometimes had to increase, hopefully not exactly by the same number as another location, but increased the headcount in other locations. So, I think that's the element of it - that's one element. And the second is that we start integration planning at exactly the same time that we start due diligence. And we have significant overlap between the people who are doing the due diligence and doing the integration planning, and are going to be responsible for execution of the integration plan, including the target. So, every integration, every business that we've acquired, certainly of any size, we've got a written integration plan that covers all of the operational areas, is developed jointly. I guess we take the pen on it, but developed jointly and - or at least bought into by the target and their management, and gives us at least a roadmap for when we close, how we're going to do the integrations, where I know other companies I've seen and frankly have been involved with, they view kind of the deal team who does due diligence and deal selection, as completely different from the integration team, and often don't really even start integration planning till way further in the process, and sometimes even when the deal is closed. So, I think both of those areas have helped us. Certainly, the latter particularly has helped us avoid some missteps that are avoidable, and I think can help. That is one of the key reasons that we've been successful in our acquisitions.
David Martin: Okay, great. Thanks. And one more quick one linked to one Justin's questions. You said mostly equipment sold in Japan. Would it make sense to work towards taking your consumables there too, if the market is going to materially open up?
David Wolf: Yes, absolutely. So, we certainly have done some elements of that. We're actually right now in a clinical trial in Japan with certain products on the consumables side. But as you know, I try not to get too far ahead of ourselves on futures. So, I'd rather talk about that a little bit more once it's been successful and resulted in meaningful sales than get too far, as I said earlier, getting too far over my skis.
David Martin: When would the trials finish and when might you get approval in Japan?
David Wolf: Yes. So, it's really less in this case about approval. So, the Japanese system is a little bit different. It's more about being able to have - the Japanese, the (indiscernible) behave and doctors behave differently. They typically do less hormonal stimulation than the rest of the world. So, the products that are proven with clinical data in other parts of the world, don't necessarily like either work as well in Japan, or at least certainly the doctors want - and embryologists want proof that they work as well in Japan. So, I think it's more so that we can have clinical proof from a market - it’s a must to have clinical proof in the market perspective as from a regulatory perspective.
David Martin: Okay. Thank you.
Operator: [Operator instructions]. Your next question comes from the line of Shane Colborne with Echelon Wealth Partners.
Shane Colborne: Hey guys, can you hear me?
David Wolf: Yes.
Shane Colborne: Congrats on a solid quarter. I guess a couple of questions, kind of around M&A as well. I couldn't quite hear the first response. So, I mean, there's been some meaningful M&A in the space this year with Cooper going after Cook Medical’s IVF portfolio. Although I think the regulators have kind of held that one up. Has there been any noticeable change in the competitive dynamics so far this year for M&A?
David Wolf: So, I would say hard - it's always hard to say, because again, as I mentioned, and I apologize if I was too far from the phone or you couldn't hear me, that while we certainly have a large enough universe that we believe we have opportunities to do transactions, it's not such a huge universe that there are a large number of reported deals in any kind of periodic basis, and a large enough universe that there's a lot of, I guess, kind of competitive and then published results from those competitive transactions. So, I think I can report more anecdotally on what we’re seeing. And we continue, as we have always done, to try to source our transactions directly. We have in the past participated in broader, as they'd call them, auctions, but broader marketed activities. And I don't think in any case in something that I would say was really core to what we wanted to do. And we've typically been outbid in those, which is not that unusual. And today, what we're seeing is that most of the companies we’re looking at, we're either dealing directly with the owners or dealing with representatives who clearly are talking to other people. We're not - they don't talk to anybody, but they're not doing broadly-based kind of classic auctions. So, I think there's really not enough information to be able to give you whether the climate and competitive climate has changed. I can tell you from our perspective, as I said earlier, we’re seeing more opportunities, more willingness to have discussions. From a multiples perspective, we're guided to a certain extent by the market. We have to be mindful of the market, but we're also guided by the fact that interest rates are going up. And we do a lot of our evaluation analysis based on discount and cash flow. So, we are being conservative on valuations as well, as we've always done. So, again, we can't really report on others, but I can tell you that's how we approach it.
Shane Colborne: Great. Thanks. So, I guess just a follow-on from one comment you made there on sort of non-core sort of markets for you guys. I think you mentioned that you're seeing really high growth in sort of the cell bio research and animal breeding markets. From an M&A perspective, are you guys still focused primarily on the human clinical side of things, or could you envision more M&A to increase your exposure to those markets going forward?
David Wolf: So, yes, we are focused on the human clinical, but we look opportunistically at things that are outside our core, as long as they have some meaningful commonality of don't approach customers channels, or in the case that I mentioned, or maybe I'm thinking about, the two cases that I mentioned. We've looked at companies where they had a small piece of their business in IVF, but a much larger piece outside of it. And while - so we looked at it because of the IVF and pondered whether it made sense to make enough - go down that pathway and would expand other areas, but I would still consider that non-core and it's certainly - as I said, we passed on those, or may not be beyond one or the other.
Shane Colborne: Okay, great. Thanks. That's all my questions.
Operator: Your next question comes from the line of Tania Armstrong with Canaccord Genuity.
Tania Armstrong-Whitworth: Good morning, gentlemen. Thanks for taking my questions. So, firstly, I'm wondering what - with respect to some of the larger orders that you do, for instance, full lab buildouts and workstations, et cetera, has the, I guess, dynamic on those changed at all with respect to how long it takes to fully - to complete those kinds of orders and the lead time to get paid just because of single items are out of stock, for instance? How does the - I guess, the dynamic work on those?
David Wolf: Yes. I'll ask Michael to maybe supplement what I'm going to say from an inventory perspective, as he's certainly closer to the inventory evaluations and those sorts of things, but I would say that's an excellent point. We are certainly seeing lead time, which is one of the things that gives us a little less - I guess a little less concern, although we still have high level of concern about the fact that we had some delays in Q1, because we are clearly seeing finished goods that we sometimes have to buy in to complete a full lab buildout, have - similarly have substantially extended lead times, again, due to either demand, product availability or the like. So, but the result of that is exactly what you're suggesting in some ways, which is, there has been some deferral of some of those larger orders as we wait for everything to come in. We do have some of those - depending upon the customer, we obviously want to do what the customer wants. Some customers are fine to accept partial shipments and have partial installations, knowing that some things will - things will arrive at other times. Others want to have everything complete because one of the values that we offer is the ability to do a more turnkey, whether it's a workstation or a full laboratory installation versus, again, managing multiple vendors. I would say that's not something that's new to this quarter in a sense that we've seen that, even into most of - for most of last year. So, I would have to say that that has not had any kind of distorting effects on - or any meaningful distorting effects on quarter-to-quarter performance. Michael, I might let you comment on (indiscernible) has had an impact on either our inventories or our payments, because I think that was part of Tania’s questions.
Michael Bruns: Right. So, I think from an inventory perspective, most of the delays in a broad range partial lab, full lab buildout set of bill of materials would occur - has occurred, has been our experience so far on the sort of third-party product supplies. So, from that standpoint, very little impact on our inventory. We've literally special ordered that. Finally get it in somewhat delayed and turn around and get it out to the customer and get it installed and complete the installation as quickly as possible. And that's with right up until the supply chain issue that we're talking about here in Q1, which was our own manufactured product. So, not a large impact from that standpoint on inventories. Our inventory build is much more in terms of components and parts and supplies to keep our manufacturing of our own products intact and also to be fully stocked and from a consumable standpoint to - I think we still have some of the best turnaround times in - certainly in Europe, from our European consumable-oriented operations. And as to receivables, we actually are very proactive in getting down payments, partial payments, prepayments for most of these large buildouts, partially to mitigate risk and also partially to just enhance our own cash flow and be able to go out and acquire some of these third-party products to complete that bill of materials listing. So, I think that David is right. No overriding distorting impacts for the larger orders as they've been occurring, either on an inventory or cash flow standpoint.
Tania Armstrong-Whitworth: Excellent. Thank you. That's really, really good color. I appreciate it. And then just second for me here, given the currency fluctuations you've seen and will likely continue to see, do you have any - do you think you might put a derivative in place to kind of hedge these effects this year?
Michael Bruns: Certainly not right now. These are macroeconomic issues, more in Ukraine et cetera. Over a five-year period, we've seen ups and downs certainly in all the currencies that were affected by Euro, British pound, and now newly, the Danish krona. So, we’re not in the forecasting business. We're not in the macroeconomic analysis business to try to sort of work any of those types of scenarios. And also, largely, up until sort of these macroeconomic scenarios, most of our operations deal in in same currencies. Our European operations deal in their currencies primarily, although they will bill in the currency needed by the customer. So, it's very much - our strategy is to run our businesses as usual, grow our operations in their natural growth areas, work very diligently to grow both topline revenues and margins and develop products, and then the macroeconomic will certainly have its own pluses and minuses.
Tania Armstrong-Whitworth: Excellent. Thank you, Michael. And then just lastly, with respect to your exposure in China, I think you disclosed about like 18% or something is in Asia Pacific region. I don't know how much of that business is China, or if you're able to disclose it, but have you seen any, I guess, negative pressure on your China segment of sales, given the lockdown?
David Wolf: Yes. So, I don't remember the number exactly for Q1, but generally speaking, our Asia Pacific business hovers around 20% of our business. And we've been pretty clear historically in the past that China is generally the largest - the number one of that 20%, but not necessarily the majority of that, but we don't break out the specific number. That being said, I would say that similar - maybe similar to Japan, our exposure in China, and this is, again, probably more driven by regulatory than Japan, is primarily in capital goods versus consumables, which again, have a slightly different ordering cadence and don't have the immediate impacts that you would see on demand in the consumable space. So, the quick answer is no, we have not seen any significant change in our business in China in Q1. We may see some - I wouldn't be shocked if we see some orders that are deferred perhaps from Q1 into Q2, but I wouldn't think they would be all that meaningful. And then again, we're not epidemiologists anymore. We’re macroeconomists, but clearly the word I heard even yesterday from when we were talking with our Chinese regulatory expert, that they believe that the lockdowns are going to end, certainly in early June and that they're already ending in part some places. So, I think we can have some level of optimism that Chinese demand will go back to normal again, at least for some period of time.
Tania Armstrong-Whitworth: Okay. Excellent. Thank you for that color. That's all for me.
Operator: And there are no further questions in queue at this time.
David Wolf: All right. Well, I would like to reiterate my thanks, as I have in past calls, to our employees, who've done really exceptional dedication to our business and resiliency in light of all sorts of challenges, and to our customers, business partners, shareholders, and certainly those of you on this call, for the support you're showing our company, and encourage anybody who's interested to go to our Investor website, which is www.hamiltonthorne.ltd, for more information on our business products and further investor information. And I look forward to speaking to everybody again sometime in - around the middle of August.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.